Operator: Dear ladies and gentlemen, welcome to the Interim Report H1 2021 of Nordex SE. At our customers' request, this conference will be recorded. [Operator Instructions] May I now hand you over to Felix Zander, who will start the meeting today. Please go ahead.
Felix Zander: Perfect. Thank you very much for the introduction. Good afternoon, ladies and gentlemen. I would like to welcome you to our analyst and investor call about the figures of the first half of '21. Our CEO, José Luis Blanco; our CFO, Dr. Ilya Hartmann; and our CSO, Patxi Landa, will guide you through our presentation sharing the latest developments and financials with you. Afterwards, as you have heard, there will be a Q&A session. [Operator Instructions] And now I would like to hand over to our CEO, José Luis. Please go ahead.
Jose Luis: Thank you, Felix. Thank you, everyone, for the participation, for your time and interest. Good afternoon. Welcome. As Felix mentioned, I'm here with Ilya Hartmann, CFO; Patxi Landa, CSO. Agenda that we have prepared for today isn't a standard one. We are going to spend a little bit more time in order to talk about the recent developments in the very successful resetting of the Nordex balance sheet structure and other than that, standard agenda. So with that, let's start with the executive summary. Highlights of the first half of the year. First, our order intake momentum has remained positive in the first half with 2.8 gigawatts of orders. This is a 10% increase versus the same period of last year, mainly driven, as we are used to, by our Delta4000 series. Our order pipeline continues to be promising, and we feel quite confident around the future volumes based on our current order discussions. Second, in terms of financial performance, we delivered almost EUR 2.7 billion in sales with an EBITDA margin of 2.5% in the first half of 2021. This performance is in line with our expectations, as we had mentioned during our Q1 call. And this reflects, especially a good execution by our team despite the COVID-19 and especially the current logistical challenges that we are facing. However, let me reiterate again that the inflationary pressure and the logistical challenges are still very much here. And in fact, it seems to have increased compared to a few months ago. Let me cover this when we discuss outlook. Last, let me also share with you some important updates from July. First one, our finance team, led by Ilya, was able to complete a comprehensive financing exercise, raising EUR 586 million via rights issue, increasing our warranty facility by EUR 171 million and extending its maturity by 1 year to 2024, all in 1 go. In addition, we have canceled our state-backed revolving credit facility of EUR 350 million upon completion of that transaction. We believe this financing package provide us a really solid financial platform to secure our future profitable growth on the back of our strong balance sheet. Furthermore, second, within July, our sales team was able to secure our largest order ever of 923 megawatts with the recently listed subsidiary of our main shareholder, Acciona Energia. This order is a testament to the potential of our new turbine variant, the 163.5X and adds to our already good sales coverage for 2021 and 2022. Last, in July, we finalized as well a unique strategic partnership with TPI in Mexico, where they will run our blade plant and provide blades to Nordex exclusively and at a fixed price with customary adjustment over 3 years. This strategic partnership will allow us to derisk our ramp-up in the coming years and to focus our resources on other critical ramp-up activities worldwide, India, among others. Finally, to conclude the executive summary, we would like to maintain our guidance for 2021 and more on that later. With this, I would like to hand over to Patxi to talk about markets, customers and orders.
Patxi Landa: Thank you very much, José Luis, and good afternoon. Looking at the orders, we closed 2.8 gigawatts of new turbine contracts in the first half of the year, up 10% with respect to the same period last year. 71% of those orders were closed in Europe, with the largest volumes coming from Finland, Germany and Spain; and 29% of the orders coming from Latin America, mainly from Brazil. We are pleased with this solid order performance in the period, and we remain confident to keep the good order momentum for the rest of the year. 82% of the orders came with Delta4000 turbines, increasing further the margin quality of the backlog. ASP remains stable at EUR 0.71 million per megawatt compared to the same period last year. Next slide, please. Service sales amounted to 8% of group sales in the first half of the year, with EUR 217 million and an EBIT margin of 16.6%. Fleet on the contract stands at 25 gigawatts, with an average availability of 97.2%. Next slide, please. Turbine order backlog stood at EUR 4.8 billion at the end of Q2, decreasing 10% with respect to the same period last year. And service order backlog grew 7% to EUR 2.9 billion, for a combined order backlog of EUR 7.7 billion at the end of Q2. And with this, I hand over to Ilya.
Ilya Hartmann: Thanks, Patxi. Yes, so good afternoon also from my side. But before going into the financials of H1, 1 more time a summary on the recent capital increase. The rights issue mentioned by José Luis was a transaction on the back of a full-fledged perspective and registered with the German regulators. So a process that took us basically the better of 3 months earlier this year concluded in July. So in the making for some time. And the result was close to EUR 600 million increase in an equity, EUR 200 million, so 1/3 of that done by the conversion of a shareholder loan from the anchor shareholder Acciona, and just shy of EUR 400 million done by the way of cash. For example, the second largest shareholder, the SKion Klatten Quandt Group also participated in that capital increase and unlike Acciona, of course, like everyone else, in cash. Important to note is it's a package deal. We got an extension, let's say, an expansion of the bond line of EUR 170 million with that deal. We also got an ancillary cash facility with it. That is important because it made possible what José Luis mentioned is the cancellation, the early cancellation of the state-guaranteed loan RCF that was provided under the COVID umbrella by the German government last year. So that has now been undone. We, in the wake of the transaction, afterwards, negotiated with the full club of the bond line banks, also an extension in time. So instead of maturing in April '23, the bond line now does mature in '24 April. The numbers in the middle, of course, are important because the ratios of this company changed substantially. I won't read you through and go through all the numbers. One, maybe the equity ratio of 27.3 is basically where you would see our peers as well. So that puts us right in that field. Important to note is the financial cost savings that we will have with that transaction. So that is also some tangible outcome of it. And to summarize, it is resetting from our perspective, the balance sheet in 1 go by improving the ratios. Get rid, as I mentioned, of the RCF of the state-guaranteed loan, substantially reduce the shareholder loan. There is a remainder there and expand our bond line in volume and time. So I think with this transaction completed, substantially reducing our interest cost, improving the liquidity, it should make us a stronger counterpart for all stakeholders, customers, suppliers, banks or, for example, rating agencies. So with that, now let's go to the financials, H1, on the next slide, also summarizing that the first half went largely as we had expected. The same is true for the second quarter, which developed along the lines we had indicated to you in our Q1 call. COVID-19 impacts were less than 12 months ago as we can see, but clearly, the effects of the pandemic are not over, [Indiscernible] supply chain later on this from José Luis, more details. On the statement, some more detail. So sales EUR 2.7 billion in H1, EUR 650 million above last year. EBITDA for the first half just shy of EUR 70 million. EBITDA margin, 2.5% for the first half. Gross margin went up to 18% versus 14% compared to last year. And this, the EBIT stood at minus EUR 6 million compared to minus EUR 146 million same period in the previous year. And that, of course, goes to the net profit, which then improved by, give or take, EUR 115 million to last year and now stands at minus EUR 64 million for the first half. So the summary is profitability was impacted by some disruptions related to COVID and spillover effects in operations, project execution but not more than expected. However, as José Luis mentioned, the cost situation overall remains pretty challenging, and that clearly poses more of a risk to H2 than it had an impact in H1. On Q2, as an exception, we'll see the income statement because we're breaking here from our standards. We decided to include this time given the recent market environment and especially our transaction we just concluded. So quickly through that one. Sales here stood at EUR 1.45 billion compared to EUR 1.1 billion last year same time. EBITDA for the quarter alone at roughly EUR 60 million after the EUR 10 million in Q1. So the EBITDA margin then developed from 0.8% in the first quarter to 4% in Q2, which was in line with what we expected and indicated. Just as a comparison, Q2 of last year ended at minus 7.8%. Quickly, the EBITDA at EUR 23 million coming from minus EUR 28 million in Q1 and compared to the minus EUR 123 million in Q2 last year. So also in essence, in Q2 especially, profitability kicked into next gear, a trend we expect to continue in the next quarters, but with all the risks that we already mentioned in the beginning and to which José Luis will speak in a few moments in more detail. With that, we're going to the balance sheet. With around EUR 500 million, we have achieved a decent cash position at the end of H1, especially when we look at the EUR 334 million last year. That, of course, is before the cash contribution of around EUR 390 million from the capital increase. That is not yet reflected because it was completed in July and will show in our Q3 financials only. We also, quick note, had already been improving our financing mix towards a more long-term structure, noncurrent versus our current liabilities. But again, after the capital transaction we just described that has changed again and to better terms. Free capital increase equity ratio was at 16.6% and 1 more time, of course, that now is different going forward. With that, we jump to the net working capital. The ratio was at minus 6.5%. That is similar to the year-end level, though it has gone up compared to Q1. Anyhow, it overall remains below our guided number for the current year of below minus 6%. And the key drivers was the high execution level, leading to a corresponding decrease in our inventories, which then goes over and rolls over into the cash flow statement on the next slide. From operating activities, EUR 58 million at the end of the H1, increase of over last year's period that was at minus EUR 68 million. And here are the key drivers were an improvement in working capital and the improved profitability in H1 this year versus last year. And I'd say the effect becomes even more visible when looking at our cash flow from operating activities before net working capital. It's been a positive EUR 7.5 million in H1. That number stood at actually positive EUR 45 million when looking only at Q2 or another token of the improving EBITDA trend, as mentioned before. Not too much to say on cash flow for investing activities. So in summary, the free cash flow went slightly negative at the end of Q2, minus EUR 10 million when compared to Q1. But that was basically driven by the slight increase in working capital Q-on-Q, I just mentioned and as shown on the previous slide, which is a typical trend we see during a given year. But of course, it's substantially better compared to the minus EUR 137 million at the end of H1 2020. Finally, cash flow from financing activities was at around minus EUR 265 million and is mainly a result of the repayments under the RCF and the EIB because the Schuldscheindarlehen and the [Indiscernible] basically are leveling each other out. And also a reminder that the EUR 390 million cash portion of the capital increase is not yet reflected in this statement. This will again only happen in Q3. Investment statement, I think we can be quick. EUR 75 million. Nothing special to highlight. We're executing our investment program in the second quarter as planned or executed it as planned. Molds, tooling equipment nothing special to mention there. Then the capital structure, precapital increase, leverage ratio, 0.3; equity ratio, 16.6%. But again, all these numbers now have changed with this change of the capital structure, and that is basically a bit of an outdated information. But of course, for the sake of completeness for H1.  And with that, I would go back to you, José Luis.
Jose Luis: Thank you. Thank you very much, Ilya. So talking about operations, I mean, outstanding performance of our team despite the COVID impacts, more in Q1, less in Q2 and the logistical challenges more in Q2 than in Q1. The company managed to increase 44% the megawatts installed in the half year compared to the previous year, 775 turbines installed in 21 countries versus 610 last year. Most contributors are Europe, 52% in derisk area Europe, 19% in Latin America. Most of it in Brazil, a geography where we operate quite well, 14% in North America, 15% rest of the world. So execution is following up what we mentioned of derisking strategy and consolidating the activities in stable geographies during uncertainties, during uncertain times. Talking about production, a 5% increase in turbines assembled, 3.1 gigawatts in the first half. Majority of those were produced in Europe, Germany and Spain. In Brazil, we produce 20 legacy products, but Brazil, as we speak, is starting to produce Delta4000 for the promising orders that we need to deliver. Very important, India, which is part of our India for Global strategy already starting to produce Delta4000 [Indiscernible]. As we mentioned in the Q1 call, at that time, we were under lockdown. Now the situation in India is back in operation. So we are glad to see that India has already assembled Delta4000 [Indiscernible]. Talking about blades, 819 units produced, an increase of 31% compared to the previous period of last year. Majority of this in Europe, but as well very important to -- and very remarkable close to 200 in Mexico in the factory that we are a green TPI to operate for us and very important as well to see 82 Delta4000 [Indiscernible] already in India. So somehow supporting our India for Global strategy, which is crucial for the 2022 profitability. So with some delays, but happy to see India back in operations. Outsourced blade units 1,200 in the first half. With this, we move to the next slide, moving to our guidance. We maintain our guidance for the year on the back of a good operational performance in Q2. As outlined before, we were expecting a steady ramp-up in our performance through the quarters in 2021, and performance in Q2 has been in line with that expectation. In addition, our overall order intake led by Delta4000 series has remained quite positive despite the market volatilities. We are also pleased to report that our comprehensive company program is progressing well. For the rest of the year, we are quite optimistic about the volumes given our performance in the first half. Margins, however, are obviously under more pressures in the current environment. As we have mentioned before and as it is apparent to everyone on the call, the industry is facing unusually high level of volatility and cost pressures amplified by COVID. And we are also not immune to this. We are part of the industry. Our assumptions, therefore, continue to be subject to greater uncertainties than usual, including certain layers of risk, which we don't know today how they will play out but which could potentially affect our business performance. To highlight a few of those, there might be extraordinary volatility within commodity and logistics markets. We see commodities easing, but we see logistics still unstable. New waves of COVID causing further repercussions for commodity and logistics. We are glad to see India back in operation, but we start to see issues in other countries like Vietnam that might -- if that continues, might affect us. So far, no. In case of such impacts causing delays, there could be a potential extra [Indiscernible] costs as you know, including LDs to be discussed with customers. These type of circumstances are not foreseen today, but are tangible profitability and so pose high risk, particularly in the short term. We are taking steps to offset those developments to the extent we can, also by accelerating our comprehensive company program reshaping supply chain to the extent we can. And eventually, the degree to which those risks materialize and how successful we are in our mitigation actions could be, we'll decide where our final profitability will land within the guided range. In the medium term, however, the industry will need to pass on those costs to customers and consumers. If and how this will work should become clearer in the next couple of months. But we remain positive, given the very low cost of energy of wind onshore. So we don't think the size of the market will be impacted by the fact that the supply chain has a higher cost and as a consequence, turbines' higher prices. Moving to the last slide of this block, strategic targets. Same comments before essentially apply here to our strategic targets. We remain committed to our targets and continue to focus on our supply chain initiatives and looking to maintain our strong order intake momentum. And with this, I will hand over to Felix for -- and to you for Q&A, and I will be back to you answering questions and for closing.
Felix Zander: Thank you very much. And now the floor is open for Q&A.
Operator: [Operator Instructions] We've received the first question. It is from Constantin Hesse of Jefferies.
Constantin Hesse: Can you hear me?
Jose Luis: Yes, we hear you, Constantin.
Constantin Hesse: Fantastic. Congrats for the results today. Very quick question on the order intake in ASP. So ASP in Q2 actually came down. So I just wanted to understand the dynamics there a little bit in terms of if you took any pure price or if you increased pure prices already in Q2? And what were kind of the main drivers behind the ASP decline? That's the first question.
Patxi Landa: Constantin, this is Patxi speaking. I will take this one. We have discussed a number of quarters the variables that are impacting actually ASP as a KPI: geographical scope, turbine type, scope of the contract that can sometimes mislead if you follow the number per se. We had, specifically speaking, the same ASP in H1 2020 when compared to H1 2021. However, the underlying facts are very different. Starting by the composition of the scope, we had a significant number of less turnkey projects in '21 versus 2020. On the other side, we had a number of significant larger proportion of orders coming from Brazil, which inherently has a lesser ASP when compared to European countries or other markets. And importantly, as well, the average rating of the turbines that we sold in '21 versus '20 was significantly higher, around 10% higher on average. So when you consider all of those factors, despite the ASP number being equal, the fact of the matter is that prices are increasing. And as a consequence, this is always a situation that happens when you are comparing ASP as a KPI. On a like-for-like comparison, when you take same product with the same scope in the same market, prices are increasing with respect to the previous quarters.
Constantin Hesse: Okay. Patxi, that's amazing. Can I just ask in terms of the magnitude of the increase, low single digit?
Patxi Landa: This is -- it changes -- well, you have to take here a short-term view or a midterm view. Short-term, the discussions that we are having with the customers have less flexibility if you want it and are more complicated. And as a consequence, we are having increases that vary from contract to contract from customer to customer and from market to market. Midterm, there is more flexibility also for our customers to readjust and for the market to reset. And as a consequence, the price is changing differently. But this is very much on a contract-by-contract, customer-by-customer driven.
Constantin Hesse: Okay. That's perfect. And my second question just in terms of visibility into '22. If you can update us there in terms of what -- so I think that in Q1, you said you had about 25% visibility. What is the case today?
Patxi Landa: It's increasing because we did put 1.6 additional gigawatts with the vast majority of those orders are 2022 P&L impact. And as a consequence, it's increasing the number of -- the visibility of the backlog as we see today for 2022 P&L.
Constantin Hesse: Yes. So okay, over 30%, closer to 40% or...
Patxi Landa: Yes, closer to 40%.
Jose Luis: But if I can complement Patxi here, if you remember in the Q1 call that we announced that we were going to follow competitors and talking to customers to adjust the pricing to the cost. At that time, we were more uncertain if this could affect demand. One quarter later, we are optimistic because customers understand the situation, and we don't see any structural long-term impact for our business. Of course, short term, we need to deal with it, and we need to decide who takes part of the heat, customer, suppliers, ourselves. So short-term adaptation. Long-term, no structural change in the market in our view to adjust pricing to the new situation of the market.
Constantin Hesse: Can I just ask 1 -- sorry, sorry, 1 last 1 very quickly? So just in terms of the dynamics in Q3 and Q4. So Q3 and Q4 tend to be stronger quarters for you. And so just trying to figure out, so if the volumes go up, pricing is okay, in terms of the profitability, so to reach the midpoint of your guidance, you would have to deliver another about EUR 160 million EBITDA. So let's just divide it by EUR 280 million or EUR 70 million to EUR 80 million to deliver that. So on higher volumes, that should -- I mean, it looks like it is realistic given that in Q2, you already delivered EUR 60 million. But -- so maybe just in terms of the headwinds here, so the logistics costs, are you expecting them to be much higher relative to Q2?
Jose Luis: Let me elaborate here and we do together with Ilya. I think the profitability in the second half doesn't rely on order intake. I mean, very much we are executing the backlog in the second half. And the cost -- the headwinds we have are mainly on the cost side. On the revenue side, we are more optimistic, but situations might change if circumstances change dramatically with hard lockdowns again. But on the revenue, we are confident by executing backlog. On the profitability, as mentioned, additional headwinds and a lot of negotiations ongoing with customers about liquidated damages with suppliers. So we think we can land within the guidance but subject to more uncertainties. But long history short, more pressure on the profitability than on the revenue because it's an execution challenge what we have in second half, is not a market-order-intake driven dynamic. And maybe, Ilya, you can complement here.
Ilya Hartmann: Yes. I think the rationale was given just to complement on the arithmetics considering you're not -- obviously, we've been saying in the Q1 call that we expect Q2 to be substantially better than Q1, and it was. We also said that for Q3-Q4, we expect that to continue closer to the striking distance of our next year's target, that has not structurally changed. Now will be as close to the striking distance we thought last time. That is difficult and maybe more challenging because of the reasons that José Luis just described. But clearly, again, Q3 and Q4, we see stronger than the Q2.
Constantin Hesse: Yes. Okay. That is perfect. So if everything goes right, the top end of the guidance is still -- or maybe not the top end, but mid to top end is definitely still achievable?
Jose Luis: That's not our qualification. In the revenue, we see more of that; on the margin, we see -- I mean, it's difficult to quantify. But we see more pressure from the cost side. So that might be more towards the lower part.
Operator: The next question is from Sebastian Growe, Commerzbank.
Sebastian Growe: First one also be a bit around the guidance, and it's more about the mix part. I think you elaborated on the point that you see greater headwinds from the logistics side in the second half compared to the first half. So I would be interested in what the current share of the Delta4000 is in terms of contribution. I think you had more than 50% in the first quarter. Where's that ended in the second quarter and where you see that going in the second half? So the background of the question clearly is to simplify things a bit eventually provided that the volume comes in as expected or they hope for. So ideally, even a bit better than the top end of the range. Would the higher Delta4000 tailwinds ultimately offset the cost inflation and logistics? Is that a fair assumption in a way? So let's start there, please.
Jose Luis: Thank you, Sebastian for the question. I mean the share of Delta4000 was the plan. So we were planning a year on a quarterly distribution that we haven't commented, but we were planning profitability improvement quarter-on-quarter in 2021, driven by a bigger share of more profitable backlog driven by Delta4000. Less legacy products, less infancy mistakes in Delta4000, less launching products. So that was the planning and nothing has changed. In the second half, we are executing to that plan. Of course, the majority is Delta4000, very few legacy products and projects that were problematic are very much approaching to an end. On top of this previous planning, what we are facing now is unexpected additional headwinds driven by commodity spikes and especially logistic extra costs. The commodities, looks like somehow are stabilizing. The logistics is still uncertain. In parallel, we are discussing with customers adjusting the price, but this is more for future business for new order intake for 2022 P&L. So the adjustment from the pricing point of view to the execution in the second half is very limited. And we need to contract these extra cost increases by negotiating with customers, let's say, force majeure claims and putting more pressure on the company transformation program to bring us more savings to land the year within the guidance. I don't know if this answered your question, Sebastian?
Sebastian Growe: To the most part, it does. And clearly, we have seen already 80% of Delta4000 the order intake in the year 2020. You have now reached, it seems like atop at about 80%. So one of my questions would be where might we land? So are we talking 60%, 70% contribution overall in '21 and then 80% is what might be then on the cards for 2022 or so? Or how should we think about that?
Jose Luis: Yes. Slightly more than 60% and moving towards the 80%, which is the share of the order intake for next year.
Ilya Hartmann: Which, if I may complement, clearly shows a trend we're seeing on improving margins, but not going as far as a foregone conclusion, offsetting all the other effects that José Luis was mentioning before. So there is not a direct relation to that because 1 effect is coming as a headwind and the other 1 is that the trend is going as we expected when it comes to the better margin projects from newer technology.
Sebastian Growe: Yes. Okay. Makes sense. Then let's shift quickly to operations and talk about Brazil. So 1 of your competitors is obviously struggling heavily in the country and irrespective of initially what has been too low pricing when going into that market with a new turbine, how do you view the situation related to the raw materials, in particular, in Brazil? And yes, I'm asking the question obviously because it's about 10% or so of your total deliveries, so that will be interesting.
Jose Luis: Thank you, Sebastian. We are facing inflationary pressure on Brazil. I think we just finished a couple of months ago, one of the largest projects in Latin America, the Americas or I would say even in the Americas, close to 1 gigawatt in 2 phases with concrete tower technology. So we have a robust execution capability in that country, and we have a robust execution capability with concrete tower technology which somehow has a completely different advantage in this case of inflationary still cost pressure worldwide and especially in Brazil. So to your question, yes, there are cost increases in Brazil, not only steel. We are confident to execute our backlog profitably in Brazil, and we are confident to operate in that market, and we plan to sell because we have a temporary competitive advantage in concrete tower markets. Brazil is 1 example. South Africa could be another example compared to steel, and we need to take advantage of that to profitably gain market share in those markets.
Sebastian Growe: Okay. Sounds encouraging. And the last 1 is for me on the U.S. market and a bit around the outlook. We haven't seen any orders coming through in the first half. I think every customer is eagerly waiting for more clarity around potential [Indiscernible] design under the Biden administration. What's your thoughts around that? What are you seeing? What is really holding customers back? And then related to it and going also back to the capital raise, I think you mentioned around the capital increase that you were seeing the greatest potential going forward in the U.S. market. So for that reason, yes, it would be super helpful, I think, to just get some high-level thoughts around what you are catching in terms of expectations to the very market and what they are based on in terms of specific customer discussions, et cetera?
Patxi Landa: Thanks a lot. This is Patxi speaking. It's precisely as I said, short term, the situation is in wait-and-see mode. When regulation gets some credibility that decisions -- investment decisions will be taken, and the rhythm in the market will come back. We see a market that is in a wait-and-see mode. This will affect us well. The U.S. was our biggest single market over the last 2 years, and it will not be this year. But despite that, it's not affecting the overall performance. And despite these slower than -- relatively speaking, slower performance in the U.S., we see overall -- that the order momentum will continue with better performance than expected in other markets. And then to your -- to the second part of your question, certainly, when the market comes back, the potential for us in the new setup of the company is there for us to increase the market share in the U.S., relatively speaking, to competitors. The setup of the supply chain with very competitive blade production in Mexico and a very competitive product setting for the U.S. market conditions makes us believe that we will have an edge. And given that situation and with the new reinforced balance sheet, we believe, and the target is to gain a market share, relatively speaking, in that market.
Sebastian Growe: Yes. Very quick follow up on this one. The 10% share that you had then in the market, where do you think that can realistically go to?
Patxi Landa: That is, of course, we will ambition greater than that. That is relatively to be seen when the new regulation kicks in place. We understand the size of the volume, we understand the relative dynamics. But for sure, we are targeting higher than that market share for the U.S. market.
Jose Luis: And maybe you can -- sorry, Sebastian, I cut you off.
Sebastian Growe: No. I'm sorry, you first.
Jose Luis: I mean that was, as you mentioned, a critical part of the thought process to completely reset the balance sheet of the company. We were very successful in market share order intake in Europe, thanks to good customers, good capillarity in the sales force, very good product fit and supply chain configuration for that product fit. We prepared the supply chain configuration for being in that very same position in the U.S. But if you analyze our market share on order intake in U.S. and Europe, you see the potential gap. So where we should be landing to be seen. But if the product is good in Europe, the product is good in the U.S. So customers are really, really interested in our product. Our supply chain configuration is at par with best-in-class to be competitive in certain areas of the U.S. market in the areas with bigger expected volume. And it was always a risk factor, our balance sheet structure, which now we completely reset. So we should do better there.
Operator: The next question is from George Featherstone, Bank of America.
George Featherstone: My first 1 would be that in the pricing conversations you're having with customers, do you feel the relative competitiveness of the Delta4000 turbine is helping you gain traction on price?
Ilya Hartmann: Yes. Generally speaking, yes, tough conversations in short term, as I was saying before, on a case-by-case basis. But certainly, Delta4000 competitiveness helps relatively speaking, in those conversations, yes.
George Featherstone: Okay. Great. And then just coming back to the cost inflation you talked about. Firstly, could you help us understand exactly what has got worse in Q1? It sounds, based on what you said already, it's more logistics than raw materials anyway. And then also related to this, I know José Luis has just touched upon this on the concrete towers messaging. But it sounds as though the impact in general from raw material inflation on Nordex has been a lot better than it has been for peers. So I'd just like to try and understand exactly why that might be and whether or not there's anything different that you're doing to mitigate the impact?
Jose Luis: I will say we suffer. I mean, at the end, the steel index is public. You see it in the London Exchange, I mean, has increased. Copper when to a rally; aluminum, resins. So we suffer cost from the product cost. Regarding about product cost, I mean there is a natural, let's say, contract in place at certain contract price. And when the new costs kick in and the new price associated with the -- new cost kicking, then is where you might have timing gap to adjust. Concrete was important because it's a big part of the portfolio of what we do and that has -- is less sensitive to steel price increase, and that help us to eventually safeguard profitability and eventually improve market share. And logistic has been quite unpredictable and quite volatile for us and looks like it is for the whole industry. So we are in continuous negotiations and discussions with customers, suppliers. We think that the current situation structurally should not be sustainable because such kind of cost increases should attract more investment to the sector to new vessels. And in parallel, we are discussing with customers midterm to pass those cost increases to the customers. So very much the same dynamic we heard that some of our competitors mentioned. To which extent we are more or less affected, I mean it very much depends where your supply chain is located, where your markets are located and where you are hitting hard. I cannot comment on our competitors. But the recent call, I mean, is relevant, of course, but I mean it's not a new business. I mean, it's a business with temporary impacts in logistics, similar to the ones we are facing.
George Featherstone: That's super helpful. One final 1 for me then, if possible. On the service business, the growth in orders and revenues seems to be lagging peers is a little bit surprising given the turbine installation growth that you've had over the last 12 months. Can you help us understand why this is the case? And what the outlook is for the service business that you've embedded in both the 2021 guide and the 2022 targets?
Ilya Hartmann: Yes, look, if we go from a growth perspective it is to be in low double digits around the 10%. It's true that we are lagging over the last 2 quarters. It was close to 9% and now close to 8%. But the outlook is -- so what we're aiming for is a 10% increase. And this has to do with some rates as well from some of the contracts of -- large contracts that have expired in a quarter or not. So the aspiration is go back to low double-digit growth for that segment.
Operator: The next question is from Vivek Midha, Citi.
Vivek Midha: So can I just firstly quickly follow up on the questions on pricing. You said the customers understand the need to pass on prices. And how do you judge competitive dynamics in terms of raising prices? Are you comfortable with the pass-through of costs you're seeing from competitors as well? And secondly, if you could just help us on your hedging policy on steel costs? Maybe how much of your backlog for 2022 delivery that you see you hedged for the ones which do have which you feel [Indiscernible] for example, or your 2022 expected volumes?
Ilya Hartmann: With respect to the first question, as I said, there is a variety of cases. The shorter term, the more limitations and the more inflexibility there is for absorbing the impact, the cost impact. Midterm to long term, we see much better chances to pass through the cost. So as I said before, very different situation from customer to customer and from contract to contract.
Jose Luis: Regarding the hedging, we elaborate together with Ilya. I mean our way to work is in the moment we receive a notice to proceed from the customer, try to lock and buy the steel towers. And this is very much the case. There are other portions because we don't want to bank still in advance and compromise working capital versus profitability, although we are having those discussions. We have index clause in some contracts to protect these cost increases. But we need to manage that very carefully because that might be contraproductive because it's very difficult. Cost doesn't necessarily replicate an index. Unfortunately, there are certain areas of the scope that you cannot hedge short term. I mean you cannot hedge today the logistic cost of a vessel 1 year from now. So there is an exposure part of that of the 2022. What we are following that is taking some cost reserves in our project cost calculation. In some cases, discussing with customers, eliminating the logistic scope, as we have managed in several part of backlog, is without that logistic scope, which is great for us in these circumstances. And those discussions we entertain in a daily basis with our customers. So it's a combination of everything, somebody from -- something from the pricing, something from the cost, something from the scope and some parties on hedge.
Vivek Midha: That's helpful. Can I just...
Jose Luis: Go ahead.
Vivek Midha: To clarify. So you said you try and lock and buy steel towers. So in terms of, say, like a residual on the steel which you can't hedge or it's too expensive to hedge. Is there anything material on that, that you're seeing?
Jose Luis: Not that I know of. I mean, materially, things, I think, what concern us most now is how long it's going to take for the logistics to stabilize, how long it's going to take for us to adjust the logistic cost to the new contracts, how long it's going to take the market to build more capacity because the prices on the logistics now are very -- looks like are quite very profitable now, looking at the logistic company profitability. So if capital is work, capacity should increase and the cost increases with customers are ongoing. So structurally, I don't see a risk. I mean, I see a temporary adaptation new price to the new cost, and I see capacity in the making -- in the seeking of high-profitability logistics business today. So structurally, I don't see a threat for our business.
Operator: The next question is from Sean McLoughlin, HSBC.
Sean McLoughlin: I had a question around Acciona Energia. Can you talk through how your relationship is different now that it is an independently listed company? What share of their wind projects are you targeting? And what kind of level of volumes would you expect from Acciona Energia going forward?
Jose Luis: I think -- I mean, we can't comment what they commented in the IPO. I think Acciona Energia, we do business in [Indiscernible], pure competitive basis in the past and now and in the future. So from that standpoint of view, nothing has changed. So far, we managed to supply turbines 100% of the wind projects that they did the last, I would say, close to 10 years, if I'm not mistaken, round about at least, since I first with Windpower now with Nordex, to my knowledge, they procure all the turbines from us because we manage to give them competitive market solutions. Our wish and hope is to remain being a competitive solution for them as well as for many other customers. And our wish is that after the equity increase, they announced that they plan accelerated growth, so that will translate for potential more orders for us. And in fact, this big deal in MacIntyre, it's a good testament of that. Regarding the weight of Acciona Energia in the portfolio of customers, it's not the main customers. It's among -- it can change from being top 5 to being in the top 10. So it's a very, very relevant key account on top of being a very loyal and stable long-term shareholder for the company. But from a customer point of view, relevant customers, I would say I will qualify less than 10% on the last 12 -- average last 10 -- 5 years, less than 10% of the market share for sure.
Sean McLoughlin: That's really helpful. A follow-up just on a previous question regarding logistics. Because I understand the MacIntyre project as well as also ex logistics. Could you talk maybe about the profitability of leaving out logistics? So are you actually seeing potentially better margins on, let's say, supply-only contracts?
Jose Luis: No. No, it's similar profitability with logistics and without logistics. So I mean, we lose a lot of ASP, which is always difficult to explain to you. But of course, the customer that is willing to take that scope, they need to take some margin out of the scope as well. So our profitability doesn't change regardless the scope.
Operator: The next question is from Rajesh Singla, Societe Generale.
Rajesh Singla: Just 1 question on your discussion. Earlier, you mentioned that you are in discussion with customers on liquidated damages. So can you please elaborate a bit more on that? Like, what exactly -- what kind of liquidated damages you are seeing, which might hit P&L in the second half and whether those charges are already in your guidance or not?
Jose Luis: First, we have something in the forecast. Yes, in the guidance, what our view is of how the liquidated damages might look like. And this is 1 of the reasons why it's so broad range been in August. The kind of liquidated damages is very much delayed -- delayed delivery liquidated damages. We are claiming force majeure in several COVID-related events, lockdowns in several factories, lockdowns in imports. To the extent we succeed or not or customers are willing to accept those claims, we will land more to the right or more to the left in the profitability. And we cannot be more precise because these discussions are ongoing. I mean -- and I fear those discussions are going to be ongoing until the closure of the projects more than likely close to the end of the year. And even in some cases, projects might -- contractual negotiations of those projects might very well extend to the beginning of next year.
Rajesh Singla: So those damages are already, as you mentioned, so they are already in the guidance range. And also, can you please let me know that whether you -- how much -- so you will pay those damages? Or do you receive as well some of these damages from your vendors because they might also be facing some delays? And what kind of size of these damages would be, which are already there in your guidance and what could be outside your guidance?
Jose Luis: I mean, like our normal process, we have risk and chances in our revenue and our costs as a consequence in our profitability. So we have risk and chances regarding the damages that we are paying to the customers. We have formed our view and we have considered our view in the guidance. And the same applies to suppliers. The counterclaim to suppliers are as well considered in the guidance. Of course, the magnitude of the counterclaim to the suppliers are by far less than the claims in discussion with the customers. But our current view from both sides, from customers or suppliers are considered in the guidance. And to the extent we succeed in our view, we will deliver a little bit more central or more towards the lower end of the profitability. On the revenue, we are more comfortable.
Rajesh Singla: Okay. Maybe a follow-up question on your guidance. So it seems like you are sounding a bit more comfortable with the lower end or between the lower end or the mid-range of your margin guidance there. You're sounding more comfortable in that particular area. So any other risk which you think can push your profitability outside of your guidance range, like below the low end of your guidance range?
Jose Luis: This is improvising a little bit. The only thing I can think of is something unpredictable today. I mean today, the world is in the vaccination campaign, sites are operating, factories are operating. We don't see any hard lockdown in many of the geographies that we operate. If that situation changes, of course, we need to reassess and properly deal with -- properly deal with that. What we know today is discussion about LDs. We are counting on an outstanding operational performance in the second half, the same way we did in the second quarter. This might be affected by a new COVID outbreak, which we are not planning. The LD discussions, the logistical interruption in ports that are somehow unpredictable. So I will say, outside that major interruption imports or major outbreaks, major lockdowns due to COVID outbreaks is what somehow could -- but as I mentioned, hard to be more precise in this current environment.
Ilya Hartmann: Then to complement that, let's after all, with all these special fights, let's not forget that we are in the project business. Yes, I mean this is the nature of this business, executing large projects and things can happen. So there's always that like in any other year as well. So that's an unknown built into what we do for a living.
Rajesh Singla: Right. So maybe just to clarify on that. So assuming whatever the visibility you have or whatever the known factors you know today, you are comfortable with the midpoint of the guidance range or maybe a little bit lower than the midpoint of your margin guidance range for 2021. And will there be any spillover effect on 2022 strategic goal as well where we are looking for a big jump in your EBITDA margin to 8%?
Jose Luis: I think the contribution to the EBITDA margin 2022 is mainly driven by the impact of India for Global, so having -- or Asia for Global having more competitive supply chain to deliver the volume. This project, I'm glad that it's back running at least with delays because we were facing outbreaks in India. We were stopped for several times. As well, the 2022 profitability had certain assumptions in profitability of the order intake. And as Patxi mentioned, good discussions with customers, but eventually some temporary impacts in the price adaptation to the new cost situation. But our current view on that and we will be more -- I will say, we will be more firm in the next analyst call because we are in the middle of a bottom-up planning for the budget. But our view today is that we are not discussing the if, we are discussing eventually the when to land that profitability. So it might be delayed in a couple of months. But we don't see any structural change why the company should not deliver midterm that profitability.
Felix Zander: Okay. Thank you. Felix speaking. I think this closes our Q&A session. Thank you very much for participating in the call. And as you all know, I'd like to hand over for the final remarks to our CEO, José Luis, and I wish you a wonderful afternoon. Thank you.
Jose Luis: Thank you very much, Felix. This meeting was a little bit typical. So I'm going to put the lights now on to the financial team and onto the CSO before the final remarks. So they can share with you the last, let's say, key takeaways of the outstanding job that our financial team has done in last quarter to reset and reposition the company.
Ilya Hartmann: Yes. Thank you, José Luis and you're saying it, I mean, this goes to the team because there's always a lot of very knowledgeable and proficient people that are really doing the heavy lifting on those transactions. And it's just for me here to represent it. Maybe 3 things come to mind then. On the risk of repeating myself, I think first that this first half year has developed as expected, which is good. The second quarter showing improved business development and is reflected in both in strong sales and increased margins. However, the pandemic is not over. So for us, the direct effects today, such as site closures have been decreasing. But as we said several times, the overall cost situation remains challenging, commodity shipping, port situation, so I think we've talked about that. That's how we would see the business. So second for now after the transaction is -- before getting into the nuts and bolts of what we do, which is focus on strict budget discipline in all areas of the business and again, accelerate our comprehensive company program. This program is working well so far and has given us optimism, but delivering on it is going to be crucial for our overall delivery. And then to your point, quickly, yes, we believe that with the help of the capital increase, we have fortified the capital structure, secure, we've further improved the volumes and revenues with our partners, 360. And just taking the opportunity to thank our investors for their trust in us during that transaction.
Jose Luis: Great. So thank you very much, Ilya. So to finalize, key takeaways on behalf of myself and my colleagues. So EBITDA margin is expected to improve further in the second half, in line with positive business development. Order intake expected to remain strong with continuously high share of Delta4000 product variants of the series. Mentioned during the call, volatility and inflation in commodities and logistics costs getting more challenging compared to the first quarter of the year. Consequently, working on price improvements with some fair successful steps to support 2021 and 2022 performance, mostly 2022 from the pricing side. Situation in India, as mentioned, is under control despite some delays due to the previously commented COVID disruption. And last, guidance for the financial year maintained. So thank you very much for your time and wish you a wonderful rest of the day. Thank you.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.